Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Cirrus Logic Third Quarter Fiscal Year 2014 Financial Results Q&A Session. At this time, all participants are in a listen-only mode. After a brief statement, we will open the call for questions from analysts. Instructions for queuing up will be provided at that time. As a reminder, this conference call is being recorded for replay purposes. I would now like to turn the conference call over to Mr. Thurman Case, Chief Financial Officer. Mr. Case, you may begin.
Thurman Case: Thank you and good afternoon. Joining me on today’s call is Jason Rhode, Cirrus Logic’s President and Chief Executive Officer; and Chelsea Heffernan, from our Investor Relations team. Today, we announced our financial results for the third quarter fiscal year 2014 at approximately 4:00 PM Eastern. The shareholder letter discussing our financial results; the earnings press release, including a reconciliation of non-GAAP financial information to the most directly comparable GAAP information; along with the webcast of this Q&A session, are all available at the company’s Investor Relations website, at investor.cirrus.com. This call will feature questions from the analysts covering our company as well as questions submitted to us via e-mail at investor.relations@cirrus.com. Please note that during this session, we may make projections and other forward-looking statements that are subject to risks and uncertainties that may cause actual results to differ materially from projections. By providing this information, the company undertakes no obligation to update or revise any projections or forward-looking statements, whether as a result of new developments or otherwise. Please refer to the press release issued today, which is available on the Cirrus Logic website, the latest Form 10-K and 10-Q, as well as other corporate filings made with the Securities and Exchange Commission for additional discussion of risk factors that could cause actual results to differ materially from current expectations. Now I’d like to turn the call over to Jason Rhode, our President and Chief Executive Officer.
Jason Rhode: Thank you, Thurman. Before we begin taking questions, I’d like to highlight a few of the things we discussed in our shareholder letter. Our financial results for the third quarter were at the high end of guidance, as we delivered GAAP earnings per share of $0.63 and non-GAAP earnings per share of $0.89 on revenue of $218.9 million. During the quarter, we gained traction in portable audio with our custom and catalog products in mobile devices as many OEMs are increasingly interested in audio as a product differentiator. In LED lighting and power meters, we expanded into additional SKUs with our customers in Q3. We continued to generate cash in Q3, exiting the quarter with approximately $328 million in cash or approximately $5 per share. We believe the next catalyst to fuel growth in portable audio is the proliferation of voice as a key interface for mobile devices. The ability to intelligently interact with the device requires a substantial amount of analog and digital signal processing to ensure a consistent and exceptional user experience. Although this market is still in its early stages, we believe Cirrus Logic is well positioned to be a key player, given our signal processing expertise, engineering execution, and a portfolio of ultra-low power components . Over the next six to nine months, we plan to [take] (ph) out a number 55-nanometer products to address exciting opportunities in audio and voice applications. These products are expected to be key contributors to future revenue growth beginning as early as calendar year 2015. Also, I'd just like to note that while we understand there is intense interest related to our largest customer, in accordance with our policy, we do not discuss specifics about our business relationship. Operator, we are now ready to take questions.
Operator: (Operator Instructions) Our first question comes from the line of Tore Svanberg with Stifel. Your line is open.
Tore Svanberg - Stifel: A few questions. First of all, Jason, can you talk a little about the voice roadmap? I'm trying to understand when you could potentially have a meaningful revenue from any voice-related product?
Jason Rhode: Well, we already do really. If we're in a product such as a phone, for example, typically all of the audio and voice goes through our device, but we're specifically investing heavily in improving that voice experience, and one example of that, there are a number of them, but one good example of that is the Acoustic Technologies' acquisition we did last fall. They provide functions such as echo cancellation, noise suppression, and other types of things that enhance the voice call or a speakerphone application, for example. And thus far, that acquisition has gone extremely well. Those of you that follow the company well know that I'm not a huge fan of acquisitions in general, because most of them don’t work . But thus far, this one has gone extremely well. And so far putting their IP in with our device has just been a great catalyst for a lot of good conversations with a number of our customers. So we're already there in the sense of providing acoustic adaptive noise cancellation, and we're trying to broaden that portfolio of technologies out as rapidly as we can.
Tore Svanberg - Stifel: I guess what I was referring more to, and I do realize that voice runs through the DSP, but I guess I was referring more to potential dollar content growth above and beyond what you have today. When should we expect that's still happening because of voice type products?
Jason Rhode: Well, I expect it's going to be a fair number of incremental things that will happen for us. And again, one of those is Acoustic Technologies, which is already happening, we're already booking meaningful revenue with those guys, and we're taking and adding that to new products, some of them being the 55-nanometer type devices that I was talking about a minute ago that they can start contributing as early as next year.
Tore Svanberg - Stifel: My second question is on 55-nanometer. So you talked about coming out with products there. Is there going to be any sort of additional R&D expense that's going to come, I guess, in the March quarter, but maybe potentially in the June quarter because of that?
Jason Rhode: Well, there is some already built into the March quarter, and there has been frankly some built into the past 12 months or so either in the form of more advanced tools that are necessary to deal with these advanced processes and then of course tape out in advanced nodes like that are much more expensive than, say, 180-nanometer. So we've got a couple of those modeled in over this quarter and half a dozen or so scheduled out over the next six to nine months. So certainly we're not in a year that is as up and to the right as some of our years in the past have been. We're certainly preparing for more of that in the future. So we're mindful of expenses this year. At the same time, we want to make the right investments to help us grow going forward. And a significant amount of the variability quarter-on-quarter will be in the form of some of these tape-outs, which is a great problem to have. As a company, if you're going to spend a lot of money, the ultimate combination of what we're doing is us taping out a device and so that's a good kind of expense to have.
Tore Svanberg - Stifel: Just two quick ones for Thurman. Thurman, your inventory days came in around 55 days, which I think is probably an all-time low. As we look forward here, would you expect your inventory days eventually to be back up in the March quarter or just given how volatile that number is, I'm just trying to get some idea of where it will settle in?
Thurman Case: Yeah, in the March quarter, we think inventory probably will be flattish to down, so the days actually won’t increase, but then as we move into next year, we'll see that move up, the inventory levels increase a bit as we move through the year.
Tore Svanberg - Stifel: Okay. And then the last question is on the tax. I know you still have $50 million left on your tax program. But as you start paying taxes, I've sort of been trying to, looking at what the effective tax has been in the past, and I think the last few years it's ranging from 34% to 29%, so I am just wondering if you have any further thoughts on tax rate once you actually start paying a regular tax rate?
Thurman Case: No, I think realistically the federal tax rate is 35%, and then we have anywhere from 3% to 4% in taxes on some of the other tax payments that we've got to make. So I think in total, effective tax rate is probably 35% to 37% or 38% or so, in that range coming out, and that's the way to model it until we have a better feel for what that’s going to look like.
Operator: Our next question comes from the line of Vern Essi with Needham & Company. Your line is open.
Vern Essi - Needham & Company: I just wanted to ask sort of more of a macro question here. In your shareholder letter, you had a lot of talk about changes in pricing structure with of course your largest customer. And you had, I guess, the content loss on the amp front late last year. Going into this year, is there any level of comfort to the investment community to what you might do or milestones if you can look to that would show proof of stemming these potential losses? I mean I know you've got a lot of development things in the pipeline, but are there any milestones we can sort of look for prior to obviously big product launches in the second half of the calendar year that might give people comfort that there's more developmental works as opposed to sort of the mindset, which seems to be this is on a steady decline from here? That's a tough question. You can't really talk too much about your customer.
Jason Rhode: We can't get into specific ones in losses of products that may or may not come down the pipe, but rumors of our demise have been greatly exaggerated as usual. We think we've got a really robust pipeline of design wins and continuing business going forward. Some of our product lines are more competitive than others, amplifiers being one of those. We don't expect to win every socket out there for amplifiers. Frankly, there are a number of suppliers. Of those type products is one of the less sticky sockets that we go after. And in general, some of them are quite inexpensive and those are of less interest to us. So we specifically really look for products where we can add a meaningful amount of value by putting signal processing capability and embedding those in our amps and when we're successful doing at, we think there's a real good opportunity there. We've got pretty good visibility because of such a large percentage of our portfolio coming from catalog products. So you can certainly look for the guidance. We're certainly expecting a good if unexciting year this year as we build a platform towards a lot more growth in the further out years. So as far as we see it, a bunch of them are going on the horizon, and we're very, very excited about the position the company is in, and it's not a realistic expectation that we should have a monopoly on every product category that we participate in.
Vern Essi - Needham & Company: Sure. This sort of leads to the next question. You probably receive a lot of questions about the 55-nanometer developments taking place, but can you give us a sense of profile of how many parts, I mean however you want to sort of describe the quantity, what would fall into sort of a catalog versus custom bucket just so we have an understanding of maybe what areas you might be targeting over the next 18 months?
Jason Rhode: Yeah. I mean over the next six to nine months, we're expecting something in the order of half a dozen or so and a significant percentage of the new development that we're doing going forward is in 55-nanometer. Obviously, there is some products that don't make sense to push too far down the product pipeline when you've got a significant amount of analog content. But it's a meaningful fraction of what we're doing going forward and obviously we're not stopping at 55-nanometer, but that does happen to be, from our perspective, a very good node for integration of our DSP capabilities and the analog technology. I would say the weighting between custom and catalog is they are definitely both represented in that. We've got some great applications that are along the lines of these voice-based technologies that we think could be pretty ubiquitous . I think they mature first in smartphones and potentially have a lot of legs in other form factors, automotive, and other things, kinds of devices. I think a lot of people mean a lot of things when they say, talk about the internet of things as a market , for us at the moment, it is very specifically voice interface to your devices. A lot of our audio products can be used very well in those applications, and we certainly look for opportunities to more closely optimize for that application going forward. So I think that puts some color to your question there.
Vern Essi - Needham & Company: I am going to just follow into that, you brought up the internet of things, so you actually opened that door.
Jason Rhode: Sorry.
Vern Essi - Needham & Company: Definitely an overused theme, but are you getting a lot of inbound requests from customers on that sort of integration or that feature set into what they are doing with their roadmap?
Jason Rhode: I would say we're seeing some, and it is a pretty interesting -- I'd say we're seeing a healthy amount of demand or a healthy amount of interest in how do people address this kind of technology. I think it's something that a lot of people are weighting into very carefully, because that has a potential to be hugely in line not only for the user, but for everybody around them. But at the same time, a lot of things in the internet of things are going to be really small, and you're not going to have screens or keyboards or whatnot and voices, potentially a very efficient user interface in those cases. So I don't see anything incredibly explosive that we're participating in a very short term, but I'd see a lot of opportunity for us going forward, and it plays very well into the capabilities that we have as a company. So we're pretty excited about it over the long term.
Operator: Our next question comes from the line of Andrew Huang with Sterne Agee. Your line is open.
Andrew Huang - Sterne Agee: I first had a general question on voice control. So first I wanted to hear your opinion on that technology. I mean give some reasons why you think the sound market will go in that direction.
Jason Rhode: Well, I think we've already seen some examples of some form of voice control in the phones that are out in the market. So relative to phones, phone is a connective device, there is a lot that Samsung is doing, a lot of the processing in the cloud. But at the same time, I think anybody that's interacted with that kind of technology has found that there're certain areas for to improve. The technology that we've acquired through the Acoustic Technologies deal certainly has the potential to improve that experience significantly by filtering out background noise, for example, and making these automatic speech recognition algorithms work more effectively in a loud environment. That's a key focus for us going forward. So I think the beachhead has already been taken in phones and there's a lot of opportunities for us whether it is in tradeoff signal processing, like the example I just gave you, or simply the analog interface technology that we're a leader in, keeping a microphone powered up at a very low power. So for example, there is voice recognition technology that's out there, voice wake-up technology that's out there through a third party, we've got thus far the lowest power implementation of that on the market. So it's areas like that that I think are really going to be meaningful to us going forward in that voice interface area.
Andrew Huang - Sterne Agee: I know it's going to be kind of hard to quantify it, but do you think the dollar opportunity is bigger for voice control in the handset space or in everything else, in other words like home automation or automotive like in terms of the dollars? I'm just trying to get a sense of the magnitude of the opportunity.
Jason Rhode: I wish I was wise enough to know the right answer to that. I certainly think there is a lot of opportunities sooner in mobile, but I think a lot of that technology will mature in that space and then find its way out into other applications like automotive or all sorts of things for your home. So I don't know what the right answer is there, but I there's a lot of opportunity in both of those cases and they fit nicely together. So mobile has a really nice advantage into the products that are fairly well self-contained. So you can deploy the technology and get it right there. The home always brings the challenge of how do you get everything that you want to make home automation work, how to get it all to play nice together. There's a number of companies out there that are doing interesting things in that space, but I think the earliest opportunity is most likely in mobile and as the infrastructure gets a little more solidified in the home, there's some great opportunities there. Certainly all of us that have bought a car that hooks up with our phones would buy that experience to go out better. Most of the voice experience that are provided in the automobile are really not what I think the rest of us would like to see.
Andrew Huang - Sterne Agee: I was wondering about your success rate with mobile phone makers in China. And one thing specifically I wanted to ask about was maybe quantify those design cycle times with those customers maybe relative to the tier-1 phone makers.
Jason Rhode: Well, we have seen a ton of interest there. A number of mobile manufacturers in China, they've gotten to a point where they're big for their product lines and have kind of come up with interesting ways. On the one hand, they're certainly pushing the pricing down of the low-end models, but at the high end, they've got interesting products there. They're trying to do things that differentiate themselves relative to their competitors. And voice is a good application of that. They certainly move more quickly than some of the tier-1 counterparts. And there's good things and bad things that go with that. But yes, they definitely can move a little more quickly. For us, it accelerates things pretty significantly. For the most part, what we're talking about is catalog devices that are already on the website. So we're short-circuiting that portion of the development cycle. We got to go off and develop a new device in order to capitalize on opportunity.
Andrew Huang - Sterne Agee: One LED lighting, first, can you talk about your expectations for market growth in 2014? And then I was wondering if there were kind of any changes in your strategy relative to a year ago in that segment?
Jason Rhode: Sure. I don't have a great crystal ball for what the market is going to do in LED lighting. Your guess is probably good or better than mine. But we do see a significant growth market. One of the dynamics that we've certainly experienced over the last year is that it's a lot more fragmented than we expected. And every manufacturer has been a lot more SKUs, they're all trying out different things. I don't think anybody has really hit a home run of what light bulbs should ought to look like. Some of the things that we've seen develop over the last year certainly is the case that some form factors are a lot more discriminating in terms of the dimmer compatibility than others. Everybody gets excited about whatever the latest, cheapest A19 form factor bulb is. But the fact of the matter is, especially in North America, those are the least likely lamps to be connected to dimmers; whereas things like MR16s and PARs are much more likely to be on a set of dimmers and therefore put a lot more value on dimmer compatibility. So one of the changes in direction for us is the next-generation products that we're working on, a lot more programmable, a lot more customizable in a one piece of silicon, can it target a wide variety of platforms and do so at a very, very low bill of materials cost basis even to the point of being able to compete with the so called RCC solutions where there's literally no IC involved and at the same time improve the user experience significantly simply by the product significantly for our customers as well. So it's an interest market. It's always a bumpy road when you enter a new market with new technology, but we're slugging through it and I'm excited about those lines of products that we've got coming out over the next year. And so we'll see where that takes us.
Operator: Our next question comes from the line of Jeff Schreiner with Feltl and Company. Your line is open.
Jeff Schreiner - Feltl and Company: How important is the VoIP category for Cirrus?
Jason Rhode: I think it will be important eventually. I don't see so many opportunities that are needle movers in the short term, but I think in the long run, it's a great opportunity. I do think that there will be VoIP opportunity. I think it's important to note that like any audio market, there is going to be applications where it's a very rudimentary amount of voice content or it's maybe voice in and out transmits to maybe it's a device that is operating as a satellite to a phone, et cetera, where really the opportunity is pretty limited, because there is not much processing actually happening in the device. But on the other I think over the long term, there will be devices that maybe aren't even connecting at all and so all of the processing has to happen within a device. So I think in the long run, it's a very important space for us. I think most of the products that have been launched today are still work-in-progress before they're really an amazing driver of volume from a silicon perspective.
Jeff Schreiner - Feltl and Company: And then I was just wondering has there been any tax planning in order to maybe offset the full payer tax, is that something that the company is currently looking at right now or has been looking at? And if so, what's the status of that?
Jason Rhode: Sure. I think Thurman pretty much answered that. But before you should be modeling basically the standard tax rate for the U.S. until we've got an update otherwise. Certainly we're well advised by the experts in that space. It's a complicated drawback. A lot of the techniques, et cetera, that people used to put in place, it's a lot more difficult to do today than it used to be and we certainly don't want to damage our ability to be a nimble company in the process of pursuing a somewhat lower tax rate. So it's something we take seriously. We want to make progress on that, but we really don't have anything to update you on it at the time. So I would just model the standard rate.
Jeff Schreiner - Feltl and Company: And what impacts as you begin to tape out and release new products with the 55-nanometer? What impact is that going to have on Cirrus' prices?
Jason Rhode: Well, it's interesting. The reason as an analog and mixed signal supplier, you pursue 55-nanometer or that you pursue any advanced geometry, it's different in the cases where you're marketing a purely digital product. A pure digital world is driven on a Moore's Law curve and you're driving into advanced node to push your costs down and so forth. As an analog supplier, in a lot of cases, if you took the very same product and moved it down, a lot of time this could make it more expensive very easily if you look at a chip where it's 50% analog. The reason that we pursue advanced geometry is it gives us the capability to embed a lot more signal processing capability and bring a lot more features to our customer base. So we see that as a good opportunity to bring a higher-value product to our customers to integrate other things that were maybe on the board designed to be easily implemented in multiple different either ICs or board-level stuff or things that weren't in the products at all, we see all of that being in 55-nanometer. It's just a great node from an analog design point of view. We're really looking forward to the first wave of products in the market.
Operator: (Operator Instructions) Our next question comes from the line of Blayne Curtis with Barclays. Your line is open.
Blayne Curtis - Barclays: I just wanted to understand the 55-nanometer timing. You said it takes about a year from tape-out to get revenue. You also said revenue in 2015. You've been on this two year cadence of products and you kind of broke with (inaudible) last year with some kind of reduced cost products. Are there any opportunities to increase content this year, or should we think about the same product set into those 55-nanometer chip or in the market the following year?
Jason Rhode: I think it's a complicated year in a variety of things that happen. There're certainly mix changes between form factors. Customers are launching new products all the time either with existing products we already have or other products that we've done in development. But overall, this year, we expect to be less exciting from a revenue growth. We certainly to be very profitable and continue to build this platform that we can grow on from here in the coming years. So we don't see a ton of stuff this year, but at the same time, we are launching new products, we are continuing to make progress with the products that we already have in the either new designs or continuation of existing designs. So there is a lot of things going on. The biggest story for us this year, though, really in addition to this business as usual and we may hold the ground that we've already taken is building this platform in 55-nanometer that we're able to really drive demand for growth going forward on in the coming years.
Blayne Curtis - Barclays: You mentioned something on the amp positioning. Obviously there is a well known loss you had and obviously you can't have 100% share. I understand that. If you can just talk about what types of products your amps would fit in versus a more commodity amp? The SOC you lost was a pretty high-end tablet. Is it more a phone where you think you have an advantage or maybe if you can talk about form factors or any sort of color as to where your capabilities fit in the customers' bottom?
Jason Rhode: Honestly, it will be difficult to really get to the heart of it for anybody externally, because at the end of the day, a really good engineer at any one of our customers has usually got multiple different ways to solve the problem and then it just depends on a lot of things that which way is going to be the modification and most cost effective. But as a general trend, the type of value that we're adding with the signal processing in order to help make an given speaker a little bit louder to boost up the battery voltage and get more power into the speaker. And that tends to add a lot more value the smaller the form factor gets. It's kind of a universal rule in speaker design that if you have a lot more air volume within the product to work with, there's almost nothing else that you can do that compensates for that. That's just by far the easiest way to make something louder and sound better is to get a little bit more air volume and a little bigger speaker size for example. But in cases where that works against the form factors and things that are getting smaller or things that are having space encroached on that battery, then we add more value in those cases. And then all of that is against the backdrop of speaker manufacturers that are trying to make their speakers sound better and more efficient at the same time as well. So it's a pretty complicated dynamic. Obviously the trend for us is we know we're not going to win 100% of the market in that space, but we're going to focus on the fact that's where we add a lot of value and we're going to try to make it easier to use our parts, make them be more integrated with other kind of signal processing capability and hopefully the tilt the odds in each of those cases a little more in our favor.
Blayne Curtis - Barclays: And then just finally for Thurman, you talked about the op margin target of 20% for this fiscal year. You obviously had the well-known loss in the gross margin profile, margins below that level for March. Is that still a reasonable target going forward, given the lower gross margin and the tape-outs you guys have been talking about?
Thurman Case: Yeah. I think we remain committed to the 20% operating profit level in longer term and there's a lot of levers that you can control and some things you can't control as much, but we're committed to that number.
Jason Rhode: One thing to add is we are a pretty seasonal business. So if you give us on a long-term basis a 20%, we're going to have quarters that are bigger where we're above that number, we're going to have quarters that are weaker quarters seasonally where we might be below that number. It doesn't make a whole lot of sense to us to manage the growth of the company based on average rate for a given quarter either. I point that out because the dynamic of the industry is sometimes we have smaller investors maybe don't understand the market as well that maybe don't understand the time scale involved. And we absolutely run the company to build value over the long run. That's how we view expenses, which as Thurman said, we're very committed to that 20% operating model over the long term, but we're not at all shy about making investment where we can to help drive more growth in the future either. So 55-nanometer stuff is a great example of that. It is very expensive. It is a strain, in some sense, on the company today, but we think it's a huge part of the value proposition that we'll be bringing to the market in the coming years.
Blayne Curtis - Barclays: So is there a way you can wrap any numbers on 55-nanometer tape-out expense? I'm assuming it's about $7 million, but obviously $6 million of them, is that hitting the June-September quarter and the right way to think about it is a few million dollars and then it steps back down?
Thurman Case: For tape-outs, and I don't want to get into specifics, because it's a competitive industry, it is $7 million, but it's a lot, lot more expensive than 180-nanometer was. And additionally, like I said before, it brings with it a lot of additional expense in terms of tool we have to support and we're going to be a lot more careful on processes and things like that. It is tape-outs, but it's other things in addition to that.
Operator: Our next question comes from the line of Christopher Longiaru with Sidoti & Company. Your line is open.
Christopher Longiaru - Sidoti & Company: You talked about voice control and some of the design momentum you're seeing with mobile devices. How transferable is your technology to other areas? I mean I think longer-term, we're going to voice control in a lot of other areas. I don't even know if you're even seeing interest at this point from other areas outside of mobile. Can you talk about kind of the long-term approach to that market?
Jason Rhode: Yeah, I think it's very applicable outside of mobile. Like I said earlier, I think it develops first and becomes mature simply because a mobile device at least has the opportunity to become self-contained and just get that one device right. You have something you can use. Whereas most things that we dream of, some kind of stuff for the home, there's not too many single applications where in and of itself it makes a lot of sense. For the home, it feels like it really needs somebody to make sense of the overall infrastructure and meet it all together and then there's a lot of opportunities for individual nodes that we could participate in. Automotive though I think is right for development in this area. Like I said earlier, I don't know about everybody else, but you got this amazing phone and you could get in your car and connect that over Bluetooth and suddenly a lot of people's hard work on voice and audio, et cetera, certainly gets a lot worse. So I think that could be stopped through better technology. I think the technologies that we've got, those things that Cirrus had developed previously, the mixed signal capabilities that we've got as well as the voice based technology that we acquired through the Acoustic Tech deal can really move that further down the field.
Christopher Longiaru - Sidoti & Company: And then just how about in terms of gaming, that's another option for that. Are you seeing anything in terms of gaming, because I think that might happen pretty quickly.
Jason Rhode: We certainly see gaming headsets as an area where some of these voice technologies are definitely of interest. We have shipped products into that space. We've seen interest there as well. So yeah, I would expect gaming to continue to be a good opportunity.
Operator: Our next question comes from the line of John Vinh with Pacific Crest Securities. Your line is open.
John Vinh - Pacific Crest Securities: First question I had was just if you could talk a little bit more about the China's smartphone business or some of your other kind of OEM customers in audio? Is there an opportunity for any of those customers in China or other OEMs to approach 10% of your audio revenues later this year?
Jason Rhode: I think that would probably be pretty aggressive. We're pursuing a lot of opportunities in different handset manufacturers. But to be honest, if you look at the smartphone market, there is number one, number two and then there is a bunch of guys with 4%, 5% market share. So even if were to clean sweep an individual account outside of number one and number two, it would be difficult for it to grow to the size that you just drew out there? Honestly, 4% or 5% of the smartphone market is a big number relative to the typical analog and mixed signal markets. And we really can't let the overall size of our business color the way that we go and pursue these other opportunities. You never know what's going to be the next big thing. In any analog and mixed signal business, $1 million to $5 million design wins are kind of the sweet spot of what you can expect to go after. And we need to be very efficient in going after those.
John Vinh - Pacific Crest Securities: I had a follow-up on the operating margin question. I just wanted to clarify, with all the tape-outs that you guys have in fiscal '15, given that you are investing in future products that are really targeted at calendar '15, is it a possibility that your 20% operating margins could get below that target for fiscal '15? How should we think about that? Would you let us know that obviously you're investing in future, or would you still manage to that 20% operating margin target for the fiscal year?
Jason Rhode: Yeah, we're very specifically not giving any guidance for any particular year. We're just reiterating that that's our model and we think we'll do well and stand very close to that and maybe below that. But we're not specifically guiding the current year. But as I said a minute ago, we're not at all shy about making investments in areas that we believe in, in advance of winning opportunities that we see out there. So in short, we manage for the long run. We absolutely don't try to manage our expense on a quarter-by-quarter basis. Obviously, we pay a lot of attention to our expense. We might want to be very efficient about how we deploy our expense and make sure that it's being invested wisely and that we're on track to seeing good returns for that.
Operator: And I'm showing we have a follow-up question from the line of Jeff Schreiner with Feltl and Company. Your line is open.
Jeff Schreiner - Feltl and Company: Can you talk about what the ASP range or content is for a voice-controlled design wins in, let's say, a smartphone?
Jason Rhode: It's kind of difficult to put a number on it, because it could mean a lot of things. We've got wins that are related to voice control that are simply algorithm-based. There might not even be a silicon. It could be some stuff that is already owned from the Acoustic Tech era and that has a wide range of ASPs. You can use, like I say, one of our devices where the value that we might add in the future could be something along the lines of keeping a microphone-biased at a very low power levels, so that you could listen 24x7 and respond to voice commands all the way up to very complicated phone codec with noise suppression, noise cancellation, microphones, you name it all being handled by that device. So it's a pretty broad range in short.
Operator: And I'm not showing any further questions at this time. I'll just turn the call back over to Chelsea for additional remarks.
Chelsea Heffernan: Thank you, operator. We will conclude the call with several questions that we've received via e-mail. Can you comment on the volatility of the stock price?
Thurman Case: Well, I certainly don't have the crystal ball there. We certainly hear from retail investors frequently about the stock. Nobody asked our opinion about what it ought to be obviously and it's not something that we have any direct control over. So our job is just to manage the long-term prospects of the company. We're very focused on making sure our investments are well placed and we're doing the right thing to grow the company's revenue and profit over the long term. And our expectation is that if we do the job we're doing now, the stock will take care of itself. It continues to be the case. As I say, we don't have any control over that. I would pay a lot of attention to the corporate filings that we do. I would pay a lot of attention to particular forms 10-K and 10-Q, the risk factors that are in there. They're real. A lot of them are not. Particularly specific to Cirrus, some of them are, but we are in a volatile industry. And if you're investing in any semiconductor company, you really should do your homework about what you're getting into and make sure you're cognizant of the risks that are there. Obviously these are things with a lot of time into making sure they don't happen, but it's not always up to us and it's not always under our control.
Chelsea Heffernan: And the final question today, have there been any discussions internally about announcing a stock dividend?
Jason Rhode: Well, at any give time, our Board, myself, Thurman spend time figuring out what the most efficient and effective way to deploy capital is. Obviously our preference is if we can find valuable M&A that we can do that we think will actually work, a great example being Acoustic Technologies guys, which has worked out very well. We'd love to find more of those. But it's definitely a challenge to find an acquisition that would be a cultural fit as well as a geographic fit in technology and all the rest of that. And we don't really want to buy anything that doesn't work out well. On a more ongoing basis, we've analyzed dividends versus buybacks. And as a volatile stock, I won't do the previous comments, I think you could argue the case for either one, but at this point, thus far, we've felt like a buyback is more efficient way to go. But it's something that we reevaluate from time to time and I'm sure we'll continue to do so. But I will note that over the past years, we've taken a significant amount of shares off even in the last year, taking on the order of about 5 million shares off. So that's something we'll continue to do. We do have a fair amount of authorization remaining on the existing buyback as well. All right. In summary, we delivered outstanding revenue, operating profit and earnings per share results for the third quarter. We're pleased to be on track to continue to achieve our long-term operating profit goal of 20%. While the next year will be a period of transition, as we focus on the introduction of new custom and catalog products, we are excited about our opportunities for long-term growth. I would like to also note that we will be attending the Stifel conference on February 11 in San Francisco. We hope to see some of you there. If you have any questions that were not addressed, you could submit them to us via the Ask the CEO section of our Investor website. I'd like to thank everyone for participating today. Good bye.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone, have a good day.